Operator: Good morning and welcome to the Third Quarter 2021 Earnings Conference Call for Orchid Island Capital. This call is being recorded today, October 29,2021. At this time, the Company would like to remind the listeners that statements made during today's conference call relating to matters that are not historical facts are Forward-looking statements subject to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995.  Listeners are cautioned that such Forward-looking statements are based on information currently available on the management's good faith, belief with respect to future events and are subject to risks and uncertainties that could cause actual performance or results to differ materially from those expressed in such forward-looking statements. Important factors that could cause such differences are described in the Company's filings with the Securities and Exchange Commission, including the Company's most recent Annual Report on Form 10-K.  The Company assumes no obligation to update such forward-looking statements to reflect actual results, changes in assumptions, or changes in other factors affecting forward-looking statements. Now, I would like to turn the conference over to the Company's Chairman and Chief Executive Officer, Mr. Robert Cauley. Please go ahead, Sir.
Robert Cauley: Thank you, Operator, and good morning. I hope everybody's had a chance to download the slide deck that we put up on our website last night because that will be, as usual, all in the slide deck as I go through the process of the call. And then at the end of the call, of course, we will open up the call for questions. First of all, just kind of give you an outline of how we'll proceed, it's very much the same as it's been in the past. We'll start off with the financial highlights, go through the market developments to give you some background to help you understand our performance and positioning, then go through our results in more detail.  Finally, we'll go through the portfolio hedges and assets and give you greater understanding of our positioning. All with respect to our financial highlights, Orchid Island generated net income per share of $0.20. This was net income of $0.22 excluding realized and unrealized gains and losses on our RMBS assets and derivative instruments, including net interest expense on our interest rate swaps. And lots of $0.02 per share from net realized and unrealized losses on RMBS derivative instruments does include interest rate swaps, interest, as I mentioned. Our book value per share increased $0.06 from $4.71 to $4.77.  And the Company declared and subsequently paid C/19.5 of share in dividends. Since its public offering, initial public offering, that is, the Company has declared $12.31 in dividends per share, including the one declared in October this year. Total economic gain of C/25.5 per share, or 5.41% for the quarter as not annualized. Moving on to Slide 3 and 4, this is as always, we present our performance versus our peers. In the first slide, we show our results using the stock price of Orchid Island and our peers through September 30th. And we're calculating total return using stock price and dividends paid.  The bottom of the page, we show our peer groups, and they have changed somewhat over time as different entrants have come and gone into our space. The second page just shows you the same numbers, only using book value for purposes of calculating total return. So, it's the change in book value plus dividends paid. Again, it's shown with a one-quarter lag. simply because we don't have all of the results of our peers for the third quarter, although I will add that based on the early results that we had, it looks like Orchid has had a very solid quarter.  Again, these numbers are presented both on a look back as of the end of the second quarter and then for each of the various calendar periods. Moving on to the market development, so I just want to pause and just again reiterate why we do this. As opposed to just going through our results and giving you a description of our positioning, the purpose of going through these market developments as the way we do is we want to give you a deeper understanding of why we had the results that we had or why we're positioned the way we are and how we see things going forward. So that's why we spend time on the market development because we need to just give you a deeper understanding about how Orchid is doing.  So, moving on again to slide 8. This slide is the same slide we use every quarter. It just shows you a snapshot of the various curves of both the nominal -- or the cash curve on the left and the swap curve on the right, and then, of course, for Q1 as well. And as you can see on the left-hand side -- or the right, rates, at least based on this snapshot, did not appear to move at all. The only movement at all really in this quarter was a flattening of the curve. So, if you look, for instance, at the 5-year point in the curve, you can see that rates increased in the long-end, flat, and went down. So, we had a meaningful flat in there, and we'll talk about this a little bit more in detail. But I want to just say something about as well.  Well, even though on a snapshot basis, it looks like nothing really happened. If you look on the next slide, take a look at the top left, you can see that rates actually, for most of the quarter, were lower. So even though we ended the quarter with rates unchanged, most treasury benchmarks hit their low yield for the year during this quarter and the result -- and the reason is, is that we have the emergence of the Delta wave of the pandemic and then that of course was very severe. And when it first emerged, nobody really knew just how severe it would be and the market reacted, as you would expect.  And there was this uncertainty with respect to the impact on earnings. And I want to draw a contrast between Q3 and Q4, I think it's a very important one. When the Delta wave emerged, as I said, it was obviously a very bad development and it caused a lot of uncertainty. But I would think it's safe to say there was a very strong consensus in the market that once the Delta wave was behind us and once the various forms of supplemental unemployment insurance and so forth were behind us in September, that the market and the economy was really poised for strong growth.  I think there was very strong sense of belief in that. And it was just a matter of time before once this delta wave moved past us, that we would resume very strong growth in particularly wage growth. And the Fed, it talked about the transitory nature of inflation. And they thought that once the pandemic is behind us, and we had the labor shortage go away, that inflation will go away as well. That was Q3. So now, let's fast forward to where we are today. And as you could see, rates were moving up at the end of the third quarter. And the reason is that because people started to realize that maybe this wasn't going to be the case as we initially thought.  For one, the delta wave isn't gone, but it's certainly in retreat. And all of the various supplemental unemployment insurance measures are gone. The foreclosure moratoriums are over. But we really haven't seen jobs really increase. Now, we may see more next week. But so far, they really haven't come back as quickly as we thought. And also, just growth in this quarter has steadily, in terms of expectations, declined at the beginning of the quarter. Expectations were that the third quarter we have very strong growth. Yesterday morning, we found out it was only 2%. And while there might be some rebound into the fourth quarter, I mean, there's a lot more uncertainty with respect to 2022.  So that's a very meaningful change, and it can be a longer-term outlook or medium-term outlook, if you will, that's taken place over the course of the quarter. And the other thing I mentioned is inflation. The inflation that we're seeing now, including the data was released this morning, is certainly challenging the transitory nature of inflation. It's starting to look like it's going to, if it is transitory, it's going to be transitory for longer.  So, it definitely looks like it's going to extend well into Q4 and probably into next year. And if you look at -- listen to earnings calls, not by mortgage rates, but by the other companies for instance, the S&P 500, they all tend to echo the same theme that they expect inflation to be with us for quite a while. Now, in the U.S., the U.S. is maybe not exactly the same as the rest of the world. For instance, our energy intensity, which is a measure of how much energy prices impact our economy, has moved down over the decades back in the seventies when price of oil went up and had a very devastating impact on our economy and cost inflation to go higher. But now, cars are more efficient.  We're much more energy efficient as a country. And therefore, the impact of higher energy costs on inflation in the U.S. are not as severe as they were. That may not be quite the case around the world certainly, what we've seen from Australia this week, Canada, England, the UK. Central banks, in particular, there are responding quite strongly to very high levels of inflation. So, inflation is definitely become the preeminent story. And these shortages of -- supply shortages of goods and labor are also persisting much longer than we expected. And so, starting to really factor into the growth outlook, not just for Q4, but into 2022.  So that's important not just for our immediate results, but it does matter for us in terms of positioning because we view this uncertainty as the reason to continue the tradition that whether we are defensively in nature and basically waiting for a resolution of some of this uncertainty before we, for instance, maybe raise the risk profile of the portfolio. So, we'll talk a little bit more about that. [Indiscernible] So anyway, that was what we wanted to drop in that. Slide 10, if you just look at this slide, it really just captures the slope of the curve.  And really what you're seeing is a convergence between the yield on the 5-year treasury in the 30. The 5-year treasury has historically the most sensitive to changes in the direction of rates. So, in this case, the market is expecting short-term rates to go higher and sooner. And so, you see the 5-year react, typically the long-end of the curve is most sensitive to inflation. And we certainly see that why it's moving the way it is. That's a bit of a quandary. There's 2 [Indiscernible] that I've seen floated.  One by economist that we follow at Cornerstone Macro. And the view there is that express there was that if the Fed is going to tighten more and sooner, then maybe the terminal fund rate wind up being lower. That's explains why longer-term rates have come down. And the other one that may just simply be the massive international global capital flows that we see, especially in the rates market, sometime can cause movements in the long-end of the curve that don't really jive with what's going on with the domestic economy.  But these can, in fact, do often drive rates. And so, we've seen, especially this week, meaningful moves day in and day out on the long-end of the curve that don't necessarily appear to be being driven solely by domestic events. In any event, whatever reason, we are seeing a flattening of the curve. And again, for leverage bond investors such as ourselves, that gives us some [Indiscernible] We need to pause that as we need to see how this ultimately shakes out. Moving on to Slide 11, in respect to the mortgage market.  As I mentioned, I just want to remind you that we were defensively positioned coming into this quarter, defensively positioned at the end of the quarter, and will be for now. If you look at the performance of the mortgage market on the top left, we basically just showed you the performance of the various 30-year coupons. What we do here is we normalized their prices as of June 30th at marked each at the 100, and just show you the change in their prices over the course of the quarter.  And as you can see, mortgages did well towards the end of the quarter. Rates started to move higher and it became clear that the Fed was about to taper their asset purchases specifically in the 22nd of September to Fed Open Market Committee meeting, when the Chairman made it quite clear that a tapering of their asset purchases was on the near-term horizon. And you can see, Fannie 2s and 2.5s fell [Indiscernible] price and that probably reflects a combination of those two factors. With respect to roles, the top 2 lines, the red and blue lines just show you the strength of the role of those 2 coupons.  The [Indiscernible] is still very much involved and those roles are quite strong. In contrast, higher coupons are soft. The [Indiscernible] 4 role's been negative. The [Indiscernible] a few spikes, it's generally the negative. The key change there is that [Indiscernible], which is [Indiscernible]. The perception now is that as rates back up that perhaps a 3% coupon will enter the production window and therefore enter the Fed purchase calendar and so forth. As a result, you've seen a move up in that role. And that has, in turn, effected the spec market on the top right.  I apologize this charts cramped that shows you 5 years of data. But as you can see on the right-hand side, all pay-ups got quite high through the course of 2020, and then collapsed during the first quarter, and then recovered during the third quarter when rates were lower, and then finally have fallen off at the end. And that reflects both rates being higher. And again, role, especially in some of the higher coupons, a [Indiscernible] being a little stronger. And as a result, we did see some softness in those payoffs toward the end of the last quarter.  Moving on, Slide 12 is a snapshot of [Indiscernible] looks relatively benign here in the course of the third quarter, but in the core -- over the course of the fourth quarter, it is definitely picked up with a lot more uncertainty in the market, and especially with respect to central banks, the timing of rate hikes and so forth. So, we've seen Vault pick up. Finally on Slide 13, these are just OAS levels. If you notice on the left, you can see the production coupons, 2s and 2.5 are still quite rich.  And for us, that just means that it's not the right time for us to start to meaningfully up to increase our allocations there. We're especially with the prospects of not only just tapering, but potentially the pace of tapering could change to the extent the Fed had to alter their plans with respect to rate hikes. So, the combination of those two are causing us to stay away for now. And I'll just make one comment. If you look at some of these lines here, you can see there's a sharp drop all of a sudden.  That's just because the model that we use, which is yield book, updated their model and it caused a lot of these OAS levels to drop. And that's it for that slide. Just some more bigger picture comments on markets as a whole on Slide 14. I just want to draw a few conclusions from this. The top of chart to shows you the quarterly returns. On the left-hand side, you see most of the fixed-income markets, mortgages, treasuries, and so forth. And you can see the returns for the quarter were very, very modest, basically zero very much unchanged.  If you look at the right-hand side, riskier assets had done better. But the one that really stands out is the tips market. And you can see the tips market had a very strong quarter. And basically, what this reflects is, people demanding more protection for inflation. So, they're buying tips. They're building up their prices. Yields on nominal treasuries only increased modestly. So as a result, real yields declined quite a bit and the break even, the difference between the 2 increase. And so, a very strong quarter. With respect to the year, if you look at the bottom, you can see most of these sectors at the fixed income markets are slightly negative. It's clearly the riskier assets that have done well.  And I guess the takeaway from that is at least for the first 10 months of the year, risk has done much better than haven assets or low-risk assets. Moving on to the refinancing activity, which of course is very important for us. The top left, we show the REFI index versus the average mortgage rate. And what you've seen here and what you're seeing in Q4 so far is the convergence of those two lines. The REFI index has remained subdued and mortgage rates are creeping higher. The bottom chart just shows you the percentage of the universe that's in the money versus the [Indiscernible] index, and these both are trending down.  Finally, I'll just say the primary secondary spread seems still to have reached the floor. I don't know that there's much room for that to improve. I think that originators have basically extracted all the efficiency they can out of the process and that's spread seems stable. Now, going through our financial results just to go through those in a little more detail on slide 17. As we always do, we show our results, decompose between just the returns of the portfolio, less our expenses, and in the middle column, we show our realized and unrealized gains.  Couple of comments you can see that we had some unrealized losses of a little over $11 million on the mortgage portfolio. That really just reflects a very modest movement in rates, coupled with some softness in spec pay-ups. We still do as we have since the first quarter, have a large allocation to spec pools and no real exposure to TBA rolls. So, pay-ups were soft at the end of the quarter. That's reflected. The hedge is just reflecting a modest increase in rates. So, the net value of that is a slight decrease.  That's the $0.02 that we mentioned earlier. And then as far as returns for the quarter, as you can see, the pass-through portfolio had a very much strong quarter. NIM did very, very well reflecting a combination of an up and coupon bias and very low realized speeds. And I would also note that -- and I will say a little bit more about this in a minute, but our allocation to structured assets and particularly IOs did very well this quarter. We are using those for a number of reasons.  But one of the benefits obviously is that they generate positive returns, positive carry. So, it's nice to be able to get positive carry out of our hedges. Finally, last couple of more slides here before we get into real nuts and bolts of the portfolio, Our NIM as reflected on page 18, I just want to point out it's remained stable. The yield on our assets has declined ever since really the onset of the pandemic, finally, seem to stabilize and bounce a little bit this quarter. our funding costs, which reflects the effect of our hedges continues to inch down the net effect as we've got a very stable NIM, and we had a slight uptick for the quarter.  The near-term, I think there it looks well off for the balance of the year. I'll say why in a moment here. Just moving forward to Slide 19, I really don't mean to say anything about this. This is just some historical information, and it's frankly Slide 20 as well. It just shows you kind of basically an in picture [Indiscernible] the portfolio versus our peers. And now, let's get into a little more of the details of the portfolio. If you look on slide 21, this is our capital allocation. What I want to point out is obviously we had a bit of a fair amount of capital raising this quarter as a result using our ATM.  And as a result, the portfolio increased by approximately 22% while that did increase, we also increased our allocation to IOs. It went from -- increased by approximately 3% in percentage terms, but in dollar terms it increased by almost 50%, 48% or so. So, we've continued to add IOs as a hedge instrument. As we mentioned, we see the Fed tapering on horizon. Some non-zero probability that it could be a little faster than maybe the market expects. As a result, you would expect mortgages to be a little soft.  And we think IOs 1 are good hedge for up rates, but also maybe a little less sensitive to mortgage basis widening. And that's why we felt we have to increase that allocation. [Indiscernible] side to shows you the roll forward of the various sub portfolios. Now, turn it more to the portfolio. Slide 23. You can see that while we don't have last quarter's slide deck, I will point out that the -- as we've grown the portfolio, increased the size, it's generally stayed the same in terms of this layout, in terms of coupons and allocations. The 3% coupon remains our largest concentration.  For instance, the weighted average coupon on our 30-year portfolio is 2.96. It was 2.97 at the end of the second quarter, so essentially unchanged. The wall of the portfolio is actually lower than it was at the end of the second quarter. So even though we have the passage of 3 months’ time, the portfolio is actually a lower wall and that just reflects the fact that we've added a [Indiscernible] assets to the portfolio and we have slightly uptick the allocation to specs. One thing I do want to point out is if you look at that 30-year line, we have nearly $4 billion in market value exposure.  And those assets pre -pay for the quarter at 7.6 CPR. That's lower than turnover. Very, very good outcome. The yield being derived from that type of asset, with that type of dollar prices somewhere in the neighborhood of 2%, And our funding costs -- even hedge funding costs at around 50 basis points. That's very nice NIM. I did mention that we increased the allocation to IOs. We have more line items here. And I'll talk about our hedges in a moment. And then after the call, [Indiscernible] in the Q&A, we can give you some more detail on how we've selected the various IOs we have. Slide 24 just shows you the slight uptick in the allocation of the specs.  We historically have owned specs in lieu of TBAs and the higher-quality assets we've added are generally New York to storage or lower loan balance did uptick slightly this quarter. And finally on Slide 25, this is really critical for us. It just shows you in particular th is 3% cohort. If you looked at each month presented here, September, August, and July, or the quarters looking back, you can see that our allocation to that sector has done very, very well relative to the cohort as a whole.  And that's combination of those low realized speeds, and the higher coupons on the asset are what generate the net interest margin that we are able to do, and that really is what drives our economic performance in dividend. Slide 26, again it's just more historical information. It just shows you that speeds, which are the green line, have remained very subdued. And are much lower than they were even in 2019. So even though we've been in a predominantly much lower rate environment, speed's been well maintained. In the near term, our outlook is favorable with rate slightly higher in the seasonal. I would expect speeds to, if anything, be slightly lower for the next few months. The next slide just gives you, our leverage. It does look like our leverage drop. That's somewhat misleading. Technically as of 9:30, our leverage ratio was 7.2. But as I mentioned, we've been raising capital through the ATM. It was somewhat back-loaded in September. We took in a few big chunks of cash towards the end of the quarter and deploy those in the option -- monthly option cycles in very early October. So, we added another turn of leverage since then.  And for [Indiscernible] since [Indiscernible] settle for 30-year mortgages in October, our leverage ratio has been around 8.2. So, it is still flat. With that being said, as I mentioned, we're generally defensively positioned and given the uncertainty surrounding the outlook, we anticipate continuing to do so. So that leverage ratio will probably stay somewhere in the low to maybe mid 8s. And then finally, our last slide is on the hedges. We have had some changes since quarter-end.  This table depicts simply the look back between June 30th to 9/30. But since the quarter end, we have added some TBA shorts. We’ve added some long-end shorts in the future space and the 10 year [Indiscernible]. And then with respect to our [Indiscernible], we did. It's basically [Indiscernible], restructured some of those, increased them in size. Rose -- raised the strikes on those and the maturity dates were extended. We did a lot of that, but despite taking some profits and building those positions. So, the hedge book continues to grow as the portfolio does as well.  Just 1 general note though, I would say that we are relying much more on IOs and [Indiscernible] and to a lesser extent, futures to hedge versus swaps. Swaps obviously will have a direct impact on our funding costs in terms of paying [Indiscernible] until the Fed starts [Indiscernible]. So, the hedge allocations have been mostly in swaps, and IOs and to a lesser extent, futures versus swaps. And that's about it. With that, I will open up the call to questions. Operator, we can take any questions you might have.
Operator: Thank you, sir. (Operator Instruction) Your first question is from Jason Stewart from Jones Trading. Your line is open.
Jason Stewart : Hey, good morning. Thanks for taking the questions.
Robert Cauley : Hey, Jason.
Jason Stewart : I was -- hey, how are you, Bob? Start with the funding cost and your outlook for the fourth quarter. There's a couple of markers on the horizon and we typically see a little bit of pressure going into year-end. What's your expectation for just overnight repo, not considering swaps, but have we seen the bottom here? Do you expect any pressure or do you see this pretty smooth sailing through the end of the year?
Robert Cauley : I would say a brief word and I'll turn it over to Hunter. As we always, when we approach quarter in year-end, always anticipate that pressure. So, we always tend to try to start layering in some funding’s over quarter-end. So that's no different than this quarter. And I'll give it to Hunter to talk about levels. We continue to see a high amount of demand for collateral. So, we get tapped on the shoulder every few days or so with the counterparties looking for more assets from us that they can reap -- that they can put on our repo books. I haven't seen a lot of pressure, honestly that -- just anecdotally, we're here 2 or 3 months from the turn. Third parties tend to try to take in a little bit of that uncertainty. It's no more than a basis pointer 2 right now, so if we're rolling something at 12 basis points for 1 month, we could probably do it over-year-end for 13 or 14. So not seeing a lot of pressure and still seeing a lot of demand for assets to reboot.
Jason Stewart : Got you. That's great. Thank you for that color. And then in terms of operating leverage, I know that there's a calculation for the management fee. But what's your expectation as you continue to grow the equity base in the portfolio for the rest of the operating line items? Should we continue -- do investors expect to see operating leverage? Are you expanding the platform at all? How should we think about that going forward?
Robert Cauley : I would say that with respect to the platform, I can't really say that we have any plans for that. Otherwise, we should continue to benefit from scale, but the only -- we have to variable costs. The biggest one by far is the management fee. And the second one is just our repo funding costs, which is much, much smaller. But we can't -- we continue to benefit from it as we grow and we're at a point now where the management fee is at 1% fixed. Basically, from now on. So, every dollar of capital we raise, our weighted average management fees should come down and most of the rest of the cost structure is fixed, so it gets diluted.  So, we should see -- continue to see a dilution of the cost structure as we grow. Almost all the capital we raised in this period was done at that lowest marginal management fee rate. And we don't really anticipate our fixed costs increasing materially. So those 2 things will contribute to operating leverage going forward.
Jason Stewart : Great, thanks for that. And then last 1 for me, and I'll jump out. I didn't hear a book value update. I heard the update on the hedges, and it looks like, based on my math, you closed them out to nice profits. Do you have a book value update for us quarter-to-date in 4Q?
Robert Cauley : We don't have a hard number, but I would say it's down somewhat. That would reflect increase in rates and spec softness.
Hunter Haas: Yeah. The softness that Bob referred to on this slide 11 and specified pools resulting from -- in his comments. He was discussing the 3 specifically, which we have a lot of exposure to. We continue to see weakness in specified pool pay-ups for the first few weeks of the new quarter. So, a little bit of a give back there attributable to this crazy roll market with [Indiscernible]. But so, it's tough to comment on the value this early in the new quarter, because things can change so quickly, but were down -- a little down, very marginally.
Robert Cauley : Yes, it's very important to see how we do next week as we get into November, we have the option cycles. And we really haven't seen as much trading activity in the second half of October, we've had for the last real year. We've got into a cycle where you have the typical auction cycle at the beginning of the month. Then you get a mid-cycle list and occasionally you need to get some [Indiscernible] Cash window list in the last week of the year.  We didn't -- or month rather. We did not get that. So, there is some uncertainty on the level of pay-ups, so the market will be very keenly dialed into next -- I think the cash window is going to be Tuesday next week. So, we'll see where those levels are. No one gave us an update. I would say based on what we've seen today though, our book is down. I don't have an exact number, but I'm guessing it will be probably 1% or 2%. But I can't give you anything more specific than that.
Jason Stewart : That's perfect. Thanks for the color. I appreciate that. Thank you.
Robert Cauley : Yes.
Operator: Your next question is from Christopher Nolan from Ladenburg Thalmann. Your line is open.
Christopher Nolan : Hi, guys. Hey Bob, on your comments in terms of the overall yield curve environment, is it fair to say that your expectations are for a flatter yield curve?
Robert Cauley : Yeah, that's definitely looks like it's going to continue to be the case. It's easy to explain what's going on in the front-end of the curve. The long end of the curve is much more of a challenge. I'm going to try to give my best guess of what's going on over there with my comments. This week, in particular, every day it just -- intraday, we get big moves.  When you walk in and New York, it hasn't opened yet, and London hours, the market's flatter, and then it turns around and goes the other way, and then Europe closes and we go back the other way. Very challenging week. But going forward, I think that inflation, assuming it's going to continue to persist, stretch the balance of
Hunter Haas: transitionary, if you will. That's going to keep the front-end of the curve soft. What goes on in the long-end is, who knows, but it's hard to imagine the curve is not moving but stay pretty flat. By the way, I didn't mention in my prepared remarks, but the spread between 5s and 30's at one point was more than 150 basis points just less than 75 as we speak so it's dropped by half in a very short period of time, so it's likely to continue to do that.  And there seems to be some contagion between what's going on amongst other Central Banks and what's going on with the Fed. It's great that we have a meeting next week, so we can get some clarity in that regard, but this week the Central Bank of Canada stopped QE and they're going to raise rates.
Robert Cauley : Australia was amazing. They have yield curve control there. And they just stopped participating. Apparently, they're ending that program. They've stepped in. They've done nothing to stop the run-up in yields. I was just checking yesterday. The yield on the Australia two-year, which was slightly negative in mid-September, is approaching 50 and move meaningfully again today. I understand. And then the same thing in the U.K. It's moving rapidly and it seems to be influencing the market expectations here, which again, all these forces are just going to drive the curve flatter.
Christopher Nolan : And then should we expect to increase capital allocation for IOs in the fourth quarter?
Robert Cauley : We had soft targeted 25. I think we're 21 and change. I would say we're probably going to continue to move in that direction.
Christopher Nolan : Great. And then I guess on page 23, you have in the portfolio characteristics, your asset sensitivity. Are you going to position -- are you planning to position this a little bit more where you have a little bit neutral sensitivity towards a 50 - BIP rise in rates?
Robert Cauley : Yes. Short answer to that is yes. And I would say that -- one thing is we've been raising capital. It's been coming in quickly particularly, this last quarter. So sometimes we add assets, and we try to do so uniformly, but get a little ahead or behind in one or the other. So, we will continue to add IOs, as I mentioned.  Since quarter-end, we have increased the hedges. I mentioned we added to our treasury shorts, [Indiscernible]. We added TBA shorts. We added some IOs. And we re-positioned some of our swaptions. So, the profile would look differently today than it did at quarter-end. But the short answer to your question is yes.
Christopher Nolan : Great. Thank you. I'll get back in the queue.
Robert Cauley : Yes.
Operator: [Operator Instructions]. Your next question is from Mikhail Goberman for JMP Securities. Your line is open.
Mikhail Goberman : Good morning, gentlemen. Thanks for taking my question. A few of my questions already been answered, but I just wanted to get your thoughts on what you're seeing for agency MBS spread, widening or tightening going forward, and how you're thinking about positioning the portfolio assuming, ceteris paribus, we putter along the way we are now although we've obviously seen some quite a lot of volatility last week, as you mentioned. But assuming, do you expect a flatter yield curve going forward? And also, in maybe a more volatile scenario where you have a massive -- not massive, but heightened, perhaps, spread widening. Thanks.
Robert Cauley : I'll take that. I would say that -- well, I'll turn it over to Hunter in a second. One thing just to keep in mind is that we certainly see the good days and bad days for mortgages and we pretty much have a pretty good feel for that. So that will tell you kind of what we expect. But the thing you have to keep in mind is that everything else is very rich also.  And to the extent there are many, many multi-sector asset managers out there, which there are, they are relative value trader. So, mortgages as by nature, can never typically get too richer too cheap for long. So that's just an override principle. So yeah, mortgages are rich, so as everything else. Tapering is on the horizon; the market knows that.  But we also have bank demand which tends to be represented an additional floor. If you will -- in addition to the Feds, simply because as they -- Fed pumps reserve into the system, they find their [Indiscernible] to banks and banks have to invest these reserves. Just kind of the opposite of where we were in '19 when they were depleting reserves and we couldn't get repo because the Feds were up against -- Feds were up against -- the banks were all up against their liquidity ratios and so forth.  Now, it's exact opposite. They have too much cash. So, their buyers. So yeah, I would say tapering is key next week. If they give us something that's different than what the market expects, you're going to see a knee-jerk widening. But then what happened? It just represents a buying opportunity. So that's going the way I look at. Hunter, you want to?
Hunter Haas: No, I totally agree with that. I think that every buying opportunity has been well-received over the last year or so, I guess. Obviously, we're in a state of free fall right after the pandemic outbreak, but that stepped in, shored up the market. And since then, any marginal lighting has been met with buying.
Robert Cauley : And on the I think the yield front as well. Every -- we definitely see yield-based buyers’ step in every time rates increased marginally and those are typically unlevered money stepping in. And then levered money stepping when things widen out on a spread basis. I -- as to your question, I think if we continue to sort of gyrate around in this range, I don't think things will change meaningfully, I think we will continue to see slow emergence of burnout in the portfolio.  And then I think if we do have some sort of an inflation scare or something that -- for us I think that's what we are most concerned about is a breakout to higher rates caused by something like inflation that seems to be on the backburner right now, are less of a concern with market. But it's something that we always have to keep our eye on. The nature of the way we are positioned in premium MBS specified pools.  In that type of situation, I think the portfolio does relatively well for the next 25 or 30 basis points. We could see spreads tied on our assets just due to the fact that refi incentive is disappearing. We increased that exposure through the use of IOs as well. And we've been really focused on positioning, and Rickcuspy mortgage assets that are going to really have a dramatically reduced incentive to refi in the next 25 to 50 basis points. So that's why a lot of times you'll see our profile skewed a little bit where it'll look negative to the up 50.  I think that's because, empirically, we've observed that in those assets, the types of assets that we typically hold, do well in that scenario. That's also why we've tried to not play chicken with the Fed being in production coupon TBAs, and we're a little bit unique in that regard. We have been trying to resist the allure of the drop market in Fannie 2s and 2.5 just on a relative value basis, they're horrible negative OAS. And our concern is that those are going to be the first assets to widen into an -- into a taper. That's are my thoughts.
Hunter Haas: Just one other thought I might add is that in terms of the evolving something that's the market doesn't see coming, and if you look at the market pricing and compare that to what Paul said at the September Fed meeting, when he basically implies that tapering will be done mid-summer. And if you look at the year dollar marker, Fed Funds futures contracts, you see that the -- at initial tightening or right after that. And then obviously that's very much in contrast to the last cycle when there was a long pause from when QE ended to the first hike, so the market is very much at odds with a repeat of what happened the last time. And who knows how it plays out. But let's say for instance that inflation continues to get worse, whatever, and the Fed concludes that they have to bring forward their tightening.  We would presume that they don't want to be tightening -- raising the Fed funds rate at the same time they're buying assets. So, they would then accelerate the tapering. In that event, that's not what the market is currently expecting in spite of the fact what the Fed funds market is telling you. And thinking that of it, you would see the production coupons soften quickly. And for investors, they might just say, okay, we're going to just sell these lower coupons.  They may leave the space or they go up in coupon. And that's kind of how we're positioned. for that to happen. So, I don't think there's a chance that they're going to not taper or extend the taper unless the economy does something that is not currently visible. So, I think the risk is that they are forced to accelerate the tapering in which case you would see the production coupons probably soften up, and that would benefit us. In that type of environment, we are in a fairly enviable position to the extent that our leverage ratio is lower than it typically is, not as low as some out there that are waiting for this buying opportunity moment. But we definitely have another turn or so of leverage that we could quickly add in a buying opportunity type of moment. But perhaps more importantly, we have been pretty successful lately in raising capital and would definitely use that [Indiscernible], so to speak as a way to add cheaper assets at an event we saw that type of scenario play out.
Mikhail Goberman : Got it. Thank you, gentlemen. That's very, very helpful.
Robert Cauley : Thanks, Mikhail.
Operator: Your next question is from Kevin Jones, Investor. Your line is open.
Robert Cauley : Hello? Hello, Kevin.
Kevin Jones : I didn't have a question. I just called in to listen.
Robert Cauley : Well, glad. Thank you for doing that.
Kevin Jones : I'm at loss for words.
Robert Cauley : All right. Well, thanks for calling. Have a great weekend.
Kevin Jones : Keep doing what you doing. Thank you, guys.
Robert Cauley : Thank you.
Operator: [Operator Instructions] We do you have a follow-up question from Christopher Nolan from Ladenburg Thalmann. Your line is open.
Christopher Nolan : Hunter answered my TBA question. But while I got you guys, what's the management perspective on doing additional equity raises?
Robert Cauley : Well, the TBA -- [Indiscernible] TBA. The ATM is something we want to continue to use. We've done secondaries probably, obviously, as you know, we don't do a lot of those. We have done them. There are benefits to the ATM, cost of capital is cheaper. You get the money in and it's slowly over time, so it makes it easy to invest. You don't have to do it all at once.
Hunter Haas: And if the stock, our basic mantra is when the stock is trading above, what we consider raising capital. When it's trading below, we consider buying it back. And then we always factor in market investment opportunities at the time in both cases. So today, the investment opportunities are okay. They're not spectacular. And the stock has been trading at a premium to book. So, it was accretive. So, in that instance, if that were to continue, we would probably be still inclined to continue to use the program.
Christopher Nolan : Thank you.
Operator: [Operator Instructions] There are no audio questions at this time. I will turn the call back to Mr. Cauley.
Robert Cauley : Thank you, Operator, and thank you, everybody. Appreciate you taking the time to join us and I certainly enjoy all your questions. To the extent you have additional questions that weren't answered. and you have to listen to refi, and want to call, please feel free to do. The office number is 772-231-1400. We'll always be glad to take your questions. Otherwise, we look forward to talking to you next time. Thank you.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.